Operator: Good morning, ladies and gentlemen, and welcome to the Milestone Scientific Third Quarter 2021 Business Update Call. At this time, all participants are in a listen-only mode and the floor will be opened for your questions and comments following the presentation. It is now my pleasure to turn the floor over to your host David Waldman with Investor Relations. Sir, the floor is yours.
David Waldman: Good morning and thank you for joining Milestone Scientific’s third quarter 2021 financial results conference call. On the call with us today are Arjan Haverhals, Chief Executive Officer; and Keisha Harcum, Controller of Milestone Scientific. The company issued a press release today, Monday, November 15, containing third quarter 2021 financial results, which is also posted on the company's website. If you have any questions after the call or would like any additional information about the company, please contact Crescendo Communications at 212- 671-1020. The company's management will now provide prepared remarks, reviewing the financial and operational results for the third quarter ended September 30, 2021. Before we get started, we would like to remind everyone that during this conference call, we may make forward-looking statements regarding timing and financial impact of Milestone's ability to implement its business plan, expected revenues and future success. These statements involve a number of risks and uncertainties and are based on assumptions involving judgments with respect to the future economic, competitive and market conditions and future business decisions, all of which are difficult or impossible to predict accurately and many of which are beyond Milestone's control. Some of the important factors that could actual results to differ materially from those indicated by the forward-looking statements are general economic conditions, failure to achieve expected revenue growth, changes in our operating expenses, adverse patent rulings, FDA or legal developments, competitive pressures, changes in customer market requirements and standards and the risk factors detailed from time to time in Milestone's periodic filings with the Securities and Exchange Commission including, without limitation, Milestone's report on Form 10-K for the year ended December 31, 2020 and Milestone's report on Form 10-Q for the third quarter ended September 30, 2021. The forward-looking statements made during this call are based upon management's reasonable belief as of today's date, November 15, 2021. Milestone undertakes no obligation to revise or update publicly any forward-looking statements for any reason. With that, we'll now turn the call over to Arjan Haverhals, Chief Executive Officer. Please go ahead, Arjan.
Arjan Haverhals: Thank you, David, and thanks to everyone for joining us today. I'm pleased to report continued revenue growth for the third quarter, as we achieved the 69% increase in revenue to $2.1 million versus $1.2 million for the same period last year. This growth reflects the continued strength of our Dental division, as dental offices continue to reopen around the world. Additionally, our Dental division continues to generate solid cash flow on a standalone basis. At the same time, we are starting to see the results of our aggressive sales and marketing initiatives within the medical segments. As we have discussed previously, we have pulled back on some of sales efforts to preserve cash during the pandemic. However, hospitals have begun to meet with our sales representatives and international distributors. And during the second quarter, we really kicked off an aggressive sales and marketing push. We have invested heavily in a new sales force, and now have 11 full time experienced sales representatives in the fields, that are calling on hospitals every day. Of course, it's not only about recruiting the right talent, but more importantly, developing the sales team and monitoring its performance closely on a daily basis. At the same time, we've invested heavily in our marketing initiatives to build brand awareness for the CompuFlo Epidural and CathCheck System and provide ourselves representatives with the tools to be much more effective, including training videos, corporate brand video, educational literature, digital marketing materials, and much more. These efforts are paying off as a sales pipeline is now more solid than at any point in the company's history. And the feedback from physicians, hospitals and major health care system has been positive, given the safety and economic benefits of the CompuFlo Epidural System. As an example, we were recently selected to supply our CompuFlo Epidural and CathCheck System throughout Florida's Memorial Health Care Network. The first hospital within this health system, Memorial Regional Hospital has begun using the CompuFlo Epidural and CathCheck System. Memorial Regional Hospital is one of the largest hospitals in Florida. We look forward to expanding ourselves across the other hospitals within their network, which includes to Joe DiMaggio Children's Hospital, Memorial Regional Hospital South, Memorial Hospital West, Memorial Hospital Miramar, and Memorial Hospital Pembroke. More importantly, each hospital we add, provides strong validation of the instrument and provides referenceable accounts, making it easier to open up subsequent hospitals. As we sit here today, we are in advanced discussions with a number of Premier hospitals and large healthcare systems, which we look forward to announcing in the future. Turning to our global efforts, we have added three new international distributors for our CompuFlo Epidural instruments, we are pleased to expand our reach in Canada with the addition of Andau Medical in Slovenia with Sanolabor DD, and in the United Arab Emirates with New Al Farwaniya Surgicals and Medical Equipment. These are important global markets and each of these distributors brings extensive relationships for introducing medical devices within their respective territories. I mentioned earlier our investment in marketing in addition to helping our internal salesforce, these new collateral materials have been very helpful in opening up new distributors as we are able to equip them with all the information they need to open up new sales channels. It's important to note that milestone has traditionally been a research and development focused organization. In the short time, since I joined the organization, we have overhauled the sales organization. We are setting high performance standards for our sales team. And I believe, we now have the tools in place to make this a truly commercial organization. In speaking directly with our customers, our mission to establish our technology as the new standard of care in epidural anaesthesia for labor and delivery has been further validated for me. This has been a long road to get here. And we faced setbacks due to the pandemic. But similar to other medical device companies and products, I've personally been involved with before Milestone, it often takes years, several years to properly seed the market. I believe that we are reaching the point that shareholders should start to see the results from all of these efforts. And we look forward to creating significant shareholder value in the months and years ahead. The market for these instruments is substantial, and given the nature of the disposables, our business model is largely built around a high margin recurring revenue model. Not only is this a good model for us, but it also provides a strong return on investment for the hospital. As the CompuFlo Epidural system has been shown to significantly reduce the total cost per hospital state. This does not even factor in the potential liability for both hospitals and physicians. This is because the physicians and hospitals will now have a clear choice to use the CompuFlo Epidural system and instruments or continue performing epidural procedures using the traditional and antiquated technique. We expect this potential liability will be magnified, as we gain broader adoption of the instruments. Our CompuFlo Epidural System offers objective detection of pressure changes to verify through loss of resistance and confirm epidural space within minutes. The clinical and safety benefits of the CompuFlo Epidural System are backed by extensive published clinical data, demonstrating significant reductions in epidural pin punctures and complication rates. We expect to announce additional publications that further reinforce the clinical benefits of our technology. So to wrap-up, we have overhauled our sales and marketing initiatives and have brought on experienced sales executives to create capitalize on the market opportunity. We are also seeing a more normalized environment, following the height of the pandemic, and realizing the benefits of our assets with growing demand and displacements of our instruments. We are starting to achieve the ambitious goals that we outlined in the past and intend to continue on this trajectory with a solid sales pipeline and additional discussions on the way. At this point, I'd like to turn the call over to our controller, Keisha Harcum to go over the financials in detail. Please go ahead, Keisha.
Keisha Harcum: Thank you, Arjan. Total revenue for the three months ended September 30th 2021, was approximately $2.1 million versus $1.2 million for the same period last year. Dental revenue increased approximately $836,000, due to the reopening of dental office throughout the country, the rest of the world, including China. Medical revenue increased approximately $26,000, as we added new distributors and begun to penetrate hospitals with the CompuFlo Epidural Instrument, and the company expect this trend to continue, as they anticipate adding additional hospitals in fourth quarter 2021. Revenue for the nine months ended September 30th 2021, was approximately $7.4 million versus $3.2 million for the same period last year. Dental revenue increased approximately $4.1 million for the nine months ended September 30th 2021, as compared to the nine months ended September 30th 2020. Medical revenue increased approximately $108,000 for the nine months ending September 30th 2021, compared to the nine months ended September 30th 2020. Gross profit for the three months ending September 30th 2021, was $1.4 million or 65% of revenue versus $836,500 or 67% of revenue for the three months ending September 30, 2020. Gross profit for the nine months of 2021 was $4.5 million or 60% of revenue versus $2.2 million or 68% of revenue for the first nine months of 2020. The decrease in gross margin is due to an increase in sales to China, which have a lower gross margin. Operating losses for the three months ending September 30, 2021 was approximately $2 million versus approximately $1.5 million for the three months ended September 30, 2020. Operating losses for the first nine months of 2021 was approximately $5.8 million versus approximately $6.3 million for the same period last year. Net losses was approximately $2 million or $0.03 per share for the three months ended September 30, 2021 versus a net loss of $1.5 million or $0.02 per share for the comparable period in 2020. Net loss for the first nine months of 2021 was $5.7 million or $0.08 per share versus net loss of $6.3 million or $0.11 per share for the comparable period in 2020. Now I would like to turn your attention to the liquidity and capital resources. As of September 30, 2021, the company had cash and cash equivalents of $14.5 million and working capital of approximately $15.7 million versus cash equivalents of $14.2 million and working capital of $15.7 million for December 30, 2020. At this point, I'd like to turn the call back over to Arjan.
Arjan Haverhals: Thank you, Keisha. As Keisha mentioned, we continue to maintain a strong balance sheet with approximately $14.5 million of cash and cash equivalents as of September 30 this year, which provides us sufficient funds to continue to execute on our business strategy. It's also important to note that we continue to carefully manage up our expenses, although cash used in operating activities for the third quarter of 2021 increased by approximately $456,000 compared to the second quarter of 2021. $356,000 of this amount was directly related to the development of a new instrument and disposables, which will be introduced in 2023. In summary, we are witnessing growing interest in a CompuFlo Epidurals instrument and CathCheck system among anesthesiologists and hospitals, and believe we are well positioned to take advantage of the growing momentum and adoption of our technologies, as we continue to pursue our goal, aiming at becoming the new standard of care for Epidural procedures in labor and delivery. We remain committed to driving shareholder value and with a solid sales pipeline, expanded sales force and increased interest in adopting our products. We are encouraged by the outlook of the business. I'd like to thank you for joining the call today. And we look forward to providing further updates as developments unfold. At this point, we would like to open the floor to a few questions, operator.
Operator: Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question is coming from Anthony Vendetti with Maxim Group. Your line is live.
Anthony Vendetti: Thank you. Arjan, I was wondering, if you could talk more about the Florida Memorial Health Care Network in terms of how many hospitals are in that network? And just talk about the progress within that network and how you see that that rolling out. And then on your disposable that you're going to – or expected to introduce in 2023. What specifically is that disposable for and what's the what's the pricing for that, relative to your prior disposal?
Arjan Haverhals: Yes. Thank you, Anthony, for your question. Absolutely, as we speak, our sales team is of course, not only focusing on the first hospital belonging to Memorial Healthcare Systems. As we have commented on -- in the media release that we did a couple of weeks ago, there are four additional facilities at the hospital belonging to the group that we are currently visiting, and also have discussions with to further expand and increase the adoption and the penetration of our technology within the within that group. So that's definitely -- we are very pleased. Like we said, it's the largest hospital, one of the largest hospitals in Florida. And we are very pleased that we have that opportunity to further enhance our penetration and adoption. As to the second part of the question, I prefer not to give any additional details on that, we will make the announcement of the new instrument and disposables at a later stage. Also, it's too premature to discuss about any pricing or pricing ranges as things can always happen between now and the beginning of 2023.
Anthony Vendetti: Sure. And then just to follow-up on the hospitals. Obviously, you also announced one in Canada as you have -- and another one internationally. So, you're expanding your reach, but you have 11 sales reps now. What's the expectation? As much as you you're able to share with us in terms of either a quarter, in terms of hospitals, they're expected to sign up in 2022, or is there a sales quarter in terms of in terms of dollars for these 11 sales reps?
Arjan Haverhals: Yes, so we still are in 2021. So, I'm still focusing short-term what we can achieve with hospitals that are placing orders within this quarter prior to move into 2022. For obvious reasons know, I cannot share what the sales quota is for the 11 sales reps that are primarily focusing in US market, in the domestic market, as you know. We have internationally we use a distribution network, so we do not have a direct sales force on the ground, but rest assured that they have their ambitious sales targets and quotas. But I don't want to give any further details, what disclosures are going to be or what they are, also not giving any forward looking statement of what the expectation for the medical business would be in the year 2022.
Anthony Vendetti: Understood. And then just last question on the underutilization for the systems that you have in place. What are you seeing in terms of the utilization trends right now at this point?
Arjan Haverhals: Thank you for asking that question because I did not comment on that. But like I said in a previous call, I'm extremely pleased with the talent that we have in our team, in particular, the new Vice President of Sales that had extensive experience in anesthesiology, in particular, in the chronic pain market. As we speak, -- and in the last couple of weeks, we have been really increasing our activities and ourselves calls also into, call it, the ASC, so Ambulatory Surgical Centers as well as private pain clinics, because our technology could also be used in these clinics for the administration of pain relief, procedures and medication. So in other words, instead of only being dependent on our technology to be used in epidural analgesia during labor and delivery, I would like to also have the opportunity to be more flexible and moving into another segment of the market, where the sales cycle is shorter, where you do not have a large or long decision making process with value assessment committees and whatsoever in these private clinics. So, I'm very positive and encouraged about the initial response that we also got from medical doctors within the pain -- in the pain market segment.
Anthony Vendetti: Okay. Thanks for that. I jump back in the queue. Thank you.
Arjan Haverhals: Thank you, Anthony.
Operator: Your next question is coming from James Terwilliger from Northland Securities. Your line is live.
James Terwilliger: Yeah. Good morning. Can you hear me okay?
Arjan Haverhals: Yes, James. Good morning.
James Terwilliger: Excellent. Thank you. A couple of quick questions. First of all, on gross margins, they popped up sequentially, and it was a good number. Was it a product mix issue, anything there on the gross margin side that you can comment?
Arjan Haverhals: Yeah. It's not so much the product mix issue. I think what we -- what has happened in both the second and the previous quarters is that, compared to previous years, the influence of the revenues in China has -- the pricing is different for the Chinese market. They have put pressure on the gross margins, but nothing alarming to that extent.
James Terwilliger: Okay. Okay, great. And then, just looking at my model R&D, in terms of expenses, which is great kind of increased here sequentially, a little bit. Is there anything on the R&D? I know you talked a little bit, more on some of the things you're working on. Is there any additional comments you have about the increase in R&D expenses?
Arjan Haverhals: So, the only additional comment, I want to make is that what we have said in previous calls, the beauty of our technology is that it can be used in any different other area where the hypodermic syringe issues. And I think we -- I mentioned that on the previous calls as well that the available funds that we are having, we are investing in the right sales and marketing activities for both dental business and the medical business. But even more importantly, we also are looking into areas, where we can further expand our platform for the use of our technologies. So, we are looking at different products, both in medical and dental, to make improvements where needed and they can be smaller, or it can be – they can be larger. But like I said, I do not want to pre-empt on my statement of the new instruments, and the disposables that we are bringing in 2023.
James Terwilliger: No. I think, it's great that you're ramping up the R&D spending. So I appreciate that. And then my last question is really, for a lot of my other companies that they got hit pretty hard with the COVID delta variant, especially with Florida and Texas and delaying procedures, and it was very bad in those two areas. You've got some great clients in Florida and in Texas that you're trying to work with. Did delta COVID variant negatively impact you at all in terms of trying to take additional market share within those systems, or was it kind of a non-event for you at this time?
Arjan Haverhals: Yeah. Thank you. Thank you for that question. I think, it's an important one. To be honest with you my personal opinion, when the delta variant, sort of came along, I was expecting that, did not necessarily throughout the entire United States, but in particular, in those states that you mentioned that we would get a setback. However, surprisingly, to that extent, we were able to get the purchase order at the hospital in Florida, also, throughout this year we were able also to get the second facility at UTMB. But definitely, what I can share with you, the process was delayed in getting the right paperwork, in front of us signed by the hospitals to get these purchase orders an internal steps that we had to fulfill to get them in place. Now, it's very difficult to – to see what the future development is going to be, and what the – what the delta variant or the pandemic, what kind of damage – potential damage that might cause in the future in Europe. Now there is resurge of the pandemic again. So I see that some – a number of countries that we are, are in lockdown. But at the end of the day, based on the activities that I see from my direct sales team, we are still able to come in front and to get in front of the medical healthcare providers being it in a hospital environment, or in an ambulatory surgical centre environment or in a private pain clinic environment.
James Terwilliger: Well, that's no -- that's great news, especially operating under these conditions, which are out of your control. And then my last question very quickly, and I was looking at the queue, you don't see I mean, your supply -- you're very comfortable with your supply chain, as it stands as of today. I mean, a lot of companies are having problems with supply chains, but you seem to be well-positioned is that…
Arjan Haverhals: Yes. So, yeah, absolutely. I mentioned that also in the previous quarter earnings call. The issue is not manufacturing. There is no manufacturing issue or there's no capacity issue at all. But of course, you know, we are definitely also facing the logistic challenges, which are containers, absolutely. But we have taken our measurements in place well in advance to mitigate that risk. So to that extent, what you see then also is that our inventory levels are currently lower than what they normally are. But there is no reason for any alarm or a red flag. The situation is under control.
James Terwilliger: Great. Thank you for taking my questions. I'll jump back in queue. Thank you very much.
Arjan Haverhals: Thank you. 
Operator: [Operator Instructions] Your next question is coming from Lesley Almet [ph]. Your line is live.
Unidentified Analyst: Okay. My name is Lesley Almet [ph] actually, but thank you for that. At today’s conference call, I asked about the profitability of milestone. And your reply was you foresaw profitability in 2022. Does the counting numbers from the last conference call to this conference call indicate that run right track towards profitability?
Arjan Haverhals: Well, I don't think that I mentioned that we will be profitable in next year in 2022. I said in the previous earnings call that our ambition would be to become profitable in the next coming years. Now, it all depends on what I what I also mentioned in the last call, it all depends on the uptake and creating the basis and the baseline of the number of hospitals that are using our technology. So it really is about increasing the adoption and the penetration into hospital settings. Secondly, it all depends on the micro -- on the macro economic environment. How that will develop? But definitely, we are making steps in the right direction. But I will not promise you that during the year 2022, that the medical business will be cash positive to that extent.
Q – Unidentified Analyst: Thanks. Thank you for that clarification. I have one more question. What's the most significant barrier that you have to address the game profitability?
Arjan Haverhals: Sorry, say that again, please. I couldn't hear the question. Apologies.
Q – Unidentified Analyst: What's the most significant barriers that you have to address to gain profitability?
Arjan Haverhals: Well, I think it's all about, you know, we make the investment in the sales team. And it's all about the acceleration and the exponential growth on the revenue side, right. So it all depends on, like I said earlier, Q3 and Q4 this year is very important for us to create that baseline. And then in 2022, it's all about acceleration of getting the current revenues, increasing the penetration of the baseline that we have created, as well as adding additional new customer acquisitions that further will support and will drive the growth of the medical business. So those two, I think it's not related to the fact whether hospitals are willing to invest in our technology. I think what we hear from now and also like I said, in my call today, and in my comments is that the pipeline is robust. It's very solid than more than ever in the history of the company. So, it is all about execution. So I do not even see that as a barrier. The main barrier could be, if something happens again, with a pandemic or any anything like that. But I'm very encouraged to what I'm currently seeing and I'm also very encouraged about the future development of our company.
Operator: Your next question is coming from Howard Yeager with Newbridge. Your line is live.
Howard Yeager: Hey, how are you?
Arjan Haverhals: I'm doing well, Howard. Thank you.
Howard Yeager: I was just wondering, if you could comment a little bit on the Salesforce pipeline where they are in reference to the pipeline now that we have 11 reps in place?
Arjan Haverhals: Yes. It's a very interesting question. Howard and thank you for asking that question. We have -- the comment that I want to make is instead of throwing out numbers, we have we have multiple, I would say we have multiple hospitals where we are in advanced discussions in getting a PEO this year. Now, I'm not going to comment on whether that is 10, 20, 30 or 40, because you always know that things take time, but I am positive and encouraged about what I see. What I can tell you is that the sales pipeline has never been dead solid, has never had the quality that we are currently having, compared to previous years or in the last year, so I'm positive about that. And I'm positive about how the sales team is really focused on driving the company forward. Absolutely.
Howard Yeager: And is this for both products, would you say?
Arjan Haverhals: No. Well, for both products, so the salesforce is that we are having in place is primarily an only focusing on the medical business.
Howard Yeager: Okay.
Arjan Haverhals: So, it is not focusing on the dental business. In the dental business, we have taken a number of initiatives of helping the distributors in generating leads. We are looking into and have had some good discussions and also already some collaboration with what we call dental service organizations, group management platform companies that are -- that we are able then to put in front of the distributors thereby can increase the lead generation. So, that strategy of only distribution related, we are also expanding that into other areas to create more cooperation’s with different types of companies within the dental community.
Howard Yeager: Okay. Perfect. And look, I just want to say and just speaking from my team. I think you guys are doing a great job. You gave a great outlook. I think you guys are executing on the plan. And all I can say is just keep up the good work.
Arjan Haverhals: Thank you, Howard. Appreciate it.
Operator: Your next question is coming from Bill Stein with Celadon Financial. Your line is…
Bill Stein: Hey, Arjan, how are you?
Arjan Haverhals: I'm doing well. Bill.
Bill Stein: I just wanted to ask you, are you doing any work as far as attracting the pain management groups? Not just the hospitals, but the pain management groups in using the device? And if you are, is the questionnaire, is it an insurance thing or is it a client thing as far as them using it versus just going after the hospitals?
Arjan Haverhals: It's an excellent question. Thank you for asking that question. Absolutely. Not only, we are marketing activities, but we are actively and engaged, and participating in the discussions with different call it, national pain organizations – in – as an example, we have also been in contact with education organizations, where we focus on the training enhanced training and education for CRNAs both in anesthesia for labor and delivery. But also, the national organizations, we are in discussions with the Patient Safety Foundation in anesthesia. We have been at the recent American Society of Anesthesia Meeting in San Diego, which was where you need, as I also people and medical doctors that are focused on – on the pain on the private pain clinic. So absolutely. Now your second question is an important one. The code, the reimbursement code is important. Absolutely. As we speak, we are looking into further evaluation of how we could position our technology, within that whole area of reimbursement codes. As you know, fluoroscopy is actually used in the private pain clinic. And it is not so much the application of the steroid. It's more the use of the technology which triggers the CPT code right. Now fluoroscopy in my own discussions with owners of private pain clinic, fluoroscopy is a high cost item for the private pain clinic. It's not only the cost of the equipment, or the amortization of the equipment, but also using a radiology assistant it has to complete three to four hours every, every day to be able to do the fluoroscopy for these patients. And then also on top of that, those clinicians, they need to have at the age of 40 cataract surgery because of the exposure to the radiation. Now we have had, like I said, based on my VP of sales, we have had several discussions with these private pain clinics. And there is definitely a level of interest for our technology. And there's a need, there's a place for our technology to be used. And I also believe, absolutely, if we would have a CPT code, then it will definitely be a game changer. But there's also a place for our technology without a CPT code, but then the magnitude is, it's somewhat lower than for example, if we have a CPT code, so we are working hard in further investigating that and being able to position ourselves in that marketplace.
Bill Stein: That's great to hear. I just wanted to ask you, how confident as far as the hospitals, do you expect -- you know, kind of a domino effect, where certain hospitals start saying yes, do you believe that? It certainly sounds encouraging from what you said as far as the sales team working on all these prospects, but it's been slower than we -- everybody wants, but I mean, how confident can you expect a domino effect on hospital deals would you think?
Arjan Haverhals: Yeah, I'm a very ambitious and positive person. No is no option for me and I'm -- I've always said it for myself, this is my personal opinion. I do believe in that domino effect. And it is not only, it's not only, let's say the adoption of the hospitals, but it is also related in what we are doing in the background. Like, for example, I believe, and I strongly feel that the responsibility that I have, that I have to bring to the company is also to educate, let's say, the society like, educate women being pregnant at the age of 18 to 40, 45 years, about the associated risk factors with these procedures. Our role, our task is to educate them. There was a recent study done by Stanford publication where the adverse events from epidural anaesthesia expressed in severe headaches. And these headaches being more than the -- just the migraines, but really terrible headaches for a woman, which also is interrupting the breastfeeding cycle for the woman and her child. Now, what we tend to do these days at the hospitals for a patient or a woman on the golden epidural analgesia, we have to sign a bunch of over a number of papers from liability issue. So my point is just, why do we allow that to happen, if there is technology available, that can avoid that situation, and that can improve healthcare outcomes, that can improve and enhance the safety of the woman and the child and actually made this -- giving birth really one of those moments in life that the woman and the child will never ever forget. I think that is our responsibility. That is our goal. And that is where I want us, my team, the entire organization and the company to play a very important role.
Bill Stein: Thanks so much, and good luck. You’re doing a great job there. Thank you.
Arjan Haverhals: Thank you so much.
Operator: There are no further questions from the line at this time. Thank you, ladies and gentlemen. This concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.
Arjan Haverhals: Thank you, very much. And thank you very much for your attention and please stay safe. All the best.